Operator: Good morning, ladies and gentlemen, and welcome to the CGI Q1 2015 Conference Call. I would now like to turn the meeting over to Mr. Lorne Gorber, Senior Vice President, Global Communications and Investor Relations. Please go ahead, Mr. Gorber.
Lorne Gorber: Thank you, Maude, and good morning. With me to discuss CGI’s Q1 2015 results are Michael Roach, our President and CEO, and Francois Boulanger, Executive Vice President and CFO. This call is being broadcast on www.cgi.com and recorded live at 9:00 AM on Wednesday, January 28, 2015. Supplemental slides as well as the press release we issued earlier this morning are available for download along with our Q1 MD&A, financial statements and accompanying notes, all of which are being filed with both SEDAR and EDGAR. Please note that some statements made on the call may be forward-looking. Actual results or events may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. The complete Safe Harbor statement is available in both our MD&A and our press release as well as on www.cgi.com. We encourage our investors to read it in its entirety. We are reporting our financial results in accordance with the International Financial Reporting Standards or IFRS. As before, we will also discuss non-GAAP performance measures which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian unless otherwise noted. As many of you know we’re hosting our AGM this morning so we’ll keep our scripted comments brief in order to take as many questions as we can within the next 45 minutes. I’ll turn it over to Francois first to review our Q1 financials and then Mike will comment on both strategic and operational highlights. So with that, Francois?
Francois Boulanger: Thank you, Lorne, and good morning everyone. I’m pleased to share our results for Q1 2015. Revenue was $2.5 billion compared with $2.6 billion in the year ago period. Foreign exchange fluctuations favorably impacted revenue by $54 million or 2.1% compared with the same period last year. Adjusted EBIT was $244 million, up 14% while our EBIT margin increased by 200 basis points to 13.5%. Net earnings were up $46 million to $236 million compared with $190 million in Q1 last year, representing an increase of 24%. EPS was $0.74 per diluted share compared with $0.60 last year. Cash generated by operating activities continued to be very strong at $339 million in Q1. The significant improvement year-over-year was largely the result of increased profitability and continuing DSO improvement, from a high of 55 days last year to 42 days in Q1 - the second quarter in a row below our 45-day target. As a result, cash from operations for the last twelve months was $1.6 billion excluding $125 million disbursed for Logica integration expenses. The remaining integration provision of $83 million will be largely disbursed through the rest of this fiscal year. Turning to the balance sheet, we repaid $290 million of debt during the quarter, ending Q1 with net debt of $1.9 billion or $966 million lower than last year. As a result, the net debt to capitalization ratio significantly improved from 39% last year to 25% at the end of December. With our revolving credit facility fully accessible and nearly $500 million in cash, we have $2 billion in readily available liquidity and access to more as needed. Now I’ll turn the call over to Mike.
Michael Roach: Thank you, Francois, and good morning everyone. Our Q1 results were strong and continued to reflect the operational and financial benefits of our business model, now implemented globally. Revenue was up sequentially but as expected was down year-over-year. I’ll touch on some of the influencing factors as part of my commentary on the operations. Our record $20 billion backlog and an expanding opportunity pipeline are providing increased visibility into future organic growth. We continue to leverage our IP-based solutions and services, global delivery centers, and our transformational consulting offerings to create maximum value for our clients and for investors. Our EBIT margin of 13.5% increased 200 basis points compared to Q1 last year. Earnings per share expanded by 23%, reinforcing our ongoing success and commitment to improving the quality of our revenue and earnings. Our net margin of 9% returns us to our pre-merger industry leading performance. The same can be said for cash from operations, which was up 400% year-over-year to $339 million. On a trailing twelve-month basis we have now generated approximately $1.5 billion of cash. Cash generated from operations and EBIT are aligned on a twelve-month basis, reflecting our post-integration experiences. In my remaining time I’ll provide some brief comments on the operations beginning with North America. Strength in our US commercial and state business continues to mitigate the industry-wide pressures in the federal government sector. As expected our top line US was impacted by the significant revenue bump-up last year associated with the completion of the Affordable Care Act projects. Without this one time impact revenue was essentially stable. Despite this headwind our US team improved EBIT to a record $95 million, up $28 million - a 40% improvement year-over-year. EBIT margins increased year-over-year by 470 basis points to 14.5%. In CGI Federal we saw the number of contract awards increasing as the volume of task orders continues to grow. We currently have over 100 open proposals with an estimated value of $1.6 billion. Our strategy is to maintain our focus on our clients’ needs while improving our long-term position by adding new vehicles, like the recently announced US Navy [Canes], our 57th active contract vehicle. While the federal government spending is flat year-over-year this remains an $80 billion market where we are well positioned to grow over time. In our US commercial business we secured new clients in financial services - a top US bank and the credit lending operation of a leading global auto manufacturer. Our opportunity pipeline continues to expand as clients plan and budget for more transformational IT projects to support revenue growth priorities. In addition, our cyber security expertise and associated business continues to rapidly expand as we engage with the technology and business leaders across all markets. Cyber security remains a top priority for clients and is embedded in all our offerings. Turning to the Canadian operations, the highlight of the quarter was clearly the $2 billion extension of our Bell relationship to 2026. With this key renewal over 60% of our Canadian revenue has been extended beyond 2020. This level of recurring revenue enables us to make the required long-term investments to create both client and shareholder value. We continue to draw in consistent and industry leading margins as demonstrated by the 21% delivered by the Canadian team in the quarter. We also continue to focus on organic growth opportunities in three main areas - Western Canada where pressure in the oil patch presents an opportunity for clients to better manage or reduce costs through the use of information technology; intensifying our efforts to expose clients to the benefits of leveraging our nine Canadian delivery centers to take advantage of the widening currency spread between the Canadian and US dollars. And third, we have created a dedicated business unit in Toronto focused exclusively on the banking sector where we have significant opportunities to grow our business over time. Shifting to Europe, although the economic sentiment remains mixed our teams continue to implement our operating model, and in doing so contributed strong bookings, superior margins and cash generation. Our book to bill over the last twelve months is 112% and the quality of the bookings is gradually increasing, replacing the planned runoff of low margin businesses. Additionally we have begun migrating more work to our global delivery centers which will contribute to accelerating market expansion and improving our competitive positioning. The benefits of these actions were clearly visible in the quarter as all our operating SBUs delivered EBIT margins greater than 10% when excluding the impact of intangibles. In the UK our operations posted 2% organic growth and expanded EBIT margins by 390 basis points to 11.3%. We continued to improve our business mix through quality engagements across numerous sectors in the UK including health, justice and utilities. In addition, we’re leveraging our cyber expertise and our secure cloud offering which are now gradually replacing lower quality revenue. In France margins increased to 12.6%, up from 9.0% last year when excluding acquisition –related benefits booked in Q1 2014. Our book to bill in France was 105% over the last twelve months. We continue to focus on increasing our backlog and associated bookings which will serve as the catalyst for future profitable growth. Similarly in the Nordic countries we continue to leverage our market leadership position to increase our bookings, recurring revenue and backlog. For the trailing twelve-month period bookings in this region are robust at 122% of revenue. Our Finnish operation continues to grow as we aggressively expand our business with long-term clients where we have earned a position of trust as their strategic technology partner. The recent decision in Scandinavia to consolidate our datacenter operations and increase the utilization of global delivery will have enduring long-term benefits despite the short-term cost impact. Overall in the macroeconomic climates of our operating geographies we continue to capitalize on our global footprint and expertise to focus on offering our clients transformational IT solutions that drive revenues, reduce costs and also address cross-industry regulatory changes. At our AGM today we’ll reiterate our commitment to deploy cash to drive the highest possible returns for investors. Profitable organic growth remains the most beneficial use of cash followed by an accretive acquisition and finally debt repayment and share buybacks. We continue to manage our debt with discipline, and as is our tradition gradually reduce it over time. In the quarter we repaid $290 million, ending December with a net debt of $1.9 billion. From a peak of $3.3 billion after acquiring Logica we have reduced our net debt by $1.4 billion over the last 27 months. Of the remaining debt, 80% is fixed at an interest rate of 2.65% after tax, insulating us from any dramatic interest rate fluctuations and better positioning us for any future acquisitions. Consistent with our use of cash and our firm belief that CGI remains a very good investment, the Board of Directors today approved the extension of our normal course issuer bid until February 10, 2016. This gives us the flexibility to purchase approximately 19 million shares over the next twelve months. I would remind investors that we have returned more than $2.5 billion to shareholders through the share buyback program over the last ten years at an average price of $11.00. Our ability to generate significant cash from operations coupled with our strong balance sheet and access to more than $2 billion in capital ensures our ability to continue participating in the ongoing consolidation of our industry. In closing I would like to share with you a proof point that demonstrates how focusing on fundamentals is essential for long-term business success and enables the generation of significant accretion for our shareholders. $100 invested in CGI’s 1986 initial public offering would have generated an average return of 19% in each of the last 28 years. This means a $100 investment in 1986 would be worth approximately $12,000 today. By comparison the same $100 invested in TSX over the same period would be worth less than $1000. The fundamentals of CGI are strong and we’re confident in our ability to continue building a world champ. Thank you for your continued interest and support. Now let’s go to the questions, Lorne.
Lorne Gorber: Just a reminder that a replay of the call is available either via our website or by dialing 1-800-408-3053 and using the passcode #6793253 until February 6th. In addition a podcast of this call will be available for download within a few hours. Follow-up questions as usual can be directed to me at 514-841-3355. So Maude, if you can poll for questions from the investment community, please?
Operator: We will now take questions from the telephone lines. (Operator instructions.) Our first question is from Paul Steep from Scotia Capital. Please go ahead.
Paul Steep: Great, thanks. I’ll give you the second one first, give you maybe time to look it up. Mike, I was going to first ask about the pace and cadence of sort of renewals since you won the significant BCE deal. And then secondly, the tenure of the book or the age of the book - you gave a great example in Canada. Can we maybe get some color on the UK and the Nordics as well? Thanks.
Michael Roach: On the age of the backlog, the average age?
Paul Steep: Yeah, on the overall age you gave a good sense of how much is locked up over a long period of time.
Michael Roach: Yeah, so I think if you look at the total company now we’re certainly north of 50%, primarily, again on the strength of the United States’ backlog, Canada and the UK. And Finland is getting there as well. So what we’re really dealing with here, Paul, is in the other countries it’s very much like we found with American Management System - the backlogs are very short and of course the goal is to extend them over time. As I said we’ve made good headway in Finland; the UK has got a backlog greater than one year. I think the last time I checked the average remaining age of the backlog is five years across the company, and again more heavily weighted in North America at the time.
Paul Steep: Great. And any feedback just as a final follow-up there in terms of the more mature markets where you’ve been operating for a while? Any feedback given the volatility in the markets lately in terms of clients’ willingness or sort of push to do renewals early or not do renewals as the case might be?
Michael Roach: I would say of course on renewals, and that was the case in the Bell case, we looked very carefully. We try never to leave a renewal to the expiry date, so if you look at the Bell case we moved a year or so ahead of it to have time to work through that without a retendering. Governments of course are a little tougher but I haven’t seen any significant movement in the renewal rate, especially, Paul, where we’ve been there for a number of years. And again in Europe of course the deals are shorter, so in those cases - and a good portion of that is integration work, project work that does turn over probably every 60 or 90 days. I think in some industries there is clear indication that they will invest more in information technology. I highlighted regulatory here because I have to tell you, in numerous sectors customers are telling me that they have to invest a significant amount of money in information technology to meet regulatory changes - of course more predominant in banking but not restricted to banking anymore.
Paul Steep: Great, and just a last one: on the IP side of things maybe if you can update us on that number sometime during the call as to where sort of the overall book is or percent of revenue is related to your IP solutions. Thanks.
Michael Roach: Yeah, thanks Paul.
Operator: Thank you. The following question is from Paul Treiber from RBC Capital Markets. Please go ahead.
Paul Treiber: Thanks very much. Just in regards to acquisitions and M&A, how do you think about the movement in the Canadian dollar just in terms of the impact on potential acquisitions in terms of pricing? And how would you finance acquisitions outside of Canada?
Michael Roach: Well again, as I’ve often mentioned we look for the three criteria - the right target, the right price and the right time. The dollar itself I don’t think is a large impact. The Euro in fact is essentially flat. The pressure would come in the US, but on the other hand cost of capital in the US is very low. And we’re also generating as I mentioned today some very significant earnings in the United States. So and that’s also one of the reasons, Paul, that we’ve locked down some long-term debt so that we wouldn’t be in a situation where we would be faced with a currency pressure and interest rate upwards pressure. So at this point I don’t see that as swinging our decision to do a deal either way. Of course I don’t have one sitting on my desk here to weigh true the impact of that but to the extent possible we’ve tried to protect ourselves from a large exposure here on that side. I think as far as a deal, how we would finance it, our preference would be to use our cash; I think use the equity on the Logica deal given its size. But as you can see here very rapidly we’re able to work down that debt through our cash generation so I would anticipate it would be primarily cash and debt.
Paul Treiber: And the follow-up question to that is there’s been a couple transactions in the IT services space over the last six months or so. How do you see valuations in the market right now in comparison to several years ago?
Michael Roach: Well again, it does fluctuate by the nature of the acquisition - whether it’s IP or services industry. And I would say it also again depends on whether the acquirer has strategic reasons for entering through an acquisition into that market, and whether or not they have good visibility into their synergies. I would say generally what’s happening is all the valuations are moving up including ours so again, I don’t feel they’re out of line. We’ve never been a company that has consciously overpaid for an acquisition and our intent would be to remain very diligent and disciplined around any acquisition that we would approach.
Paul Treiber: And just lastly I wanted to focus on margins in Europe. There’s been a modest degree of volatility in European margins over the last year. How should we think about the consistency of margins in Europe going forward? And then also if organic growth improves in Europe should that be accretive to margins or neutral to margins as given some of the potential ramp up costs?
Michael Roach: It should be accretive unless it’s driven by a large outsourcing contract that would have in it obviously some transition and transformational expenses in it. So I think again as I mentioned we’re starting to see that now in the UK - so in the UK you saw growth now of 2.2%, the margins are strengthening. The volatility over there as I mentioned, you will see volatility in Europe by the nature of some of those markets. And I always use France, and our France colleagues are doing a great job but in France given the… And other countries are similar - given their vacation schedules and the statutory days off you can have some significant movements. As you know we can accrue for vacations but we can’t accrue for statutory days off, so you will see some fluctuations there. But I think what is important to look at as I called out, all of our operations in Europe now at the SBU level are generating an EBIT of over 10% when you back out the intangibles which can range from 1.0% to 2.5% depending on the geography.
Paul Treiber: Okay, thank you. I’ll pass the line.
Michael Roach: Thank you.
Operator: Thank you. The following question is from Jason Kupferberg from Jefferies. Please go ahead.
Amit Singh: Hi guys, this is Amit Singh for Jason. Just continuing on the margin discussions, your overall adjusted EBIT margins this quarter was very strong at 13.5%. So how should we, if you could help us - how should we look at these margins going forward for the rest of fiscal 2015? It seems like there’s more upside potential from here or do you think the current rate is a good decent run rate for the rest of the year?
Michael Roach: Well again, we have to think about in the business-as-usual mode in our company we have a series of levers. And what we attempt to do is of course increase the utilization of those levers in our various businesses, regardless of the margin level they’re running. So whether they’re running at 20% or they’re running at 10% there’s still opportunity to push on those levers to increase the overall margin. And again, it starts with bringing on quality revenue and there’s always an opportunity to do more of that especially with the high-end type of revenue. The second thing where we’ve made significant progress, our teams worked extremely hard - the number of troubled projects we have have dropped significantly year-over-year. So again, when you look at where some of the margins are coming from that’s where they’re coming from. We’re no longer having the same amount of margin leakage and therefore more of the margin is coming to the shareholders. Global delivery, we see that as an increasing lever as well; when you get the right mix as well between revenue growing, the utilization rates returned. So long story short, over time - and we don’t manage this company by quarter. That’s one of the reasons why at the end of my remarks which I’ll be sharing with shareholders, that if you execute with discipline over a long period of time and focus on fundamentals the return to investors in our case has been very, very significant. So again, to be clear we’re not saying our margins are tapped out. I can assure you it’s my belief that we still have opportunities here to improve margins over time, and again, change the mix to the higher-margin business and pull the other levers that I spoke about.
Amit Singh: Okay, great. And just switching to cash flow, operating cash flow again was impressive this quarter. So if you can provide a little bit more color on also how should we look at cash flow going forward? I know previously you have said the $300 million, $350 million range is a good way to look at quarterly cash flow but also a couple of things - like your DSO is running a little bit lower than target. So how would those factors impact your cash flow for the rest of the year?
Michael Roach: Okay, good question. First I’m very pleased with the work everybody’s done on the DSO. I think if you look at that DSO given the mix of geographies we have and everything it’s excellent and in fact is running below our 45-day target. I think what I’ve been trying to communicate probably on every call is that cash flow needs to be looked at on a trailing twelve-month basis because there are influencing factors in various quarters, but as far as we’re concerned we have returned now to the type of cash generation that we did pre-Logica. And you can see that in the quarter, where we had a significant increase year-over-year. So again, trailing twelve months has been $1.6 billion. I mean our intent is of course to continue to work very hard to generate those ranges of cash and we’re fairly confident that we’ll be able to do that in 2015 and beyond.
Amit Singh: Perfect. And just one last quick one: I know previously you’ve said that the organic growth should probably return [fully] in the second half of this year. What are your thoughts about the whole growth expectations?
Michael Roach: Yeah, we’re still onto that. We’ve reviewed it with the operations, and again in Q1 as I mentioned we had some tough comparisons year-over-year. But moving forward we do see the opportunity to gradually return to organic growth in the back half of the year.
Amit Singh: Okay, thank you very much.
Operator: Thank you. Our following question is from Richard Tse with Cormark Securities. Please go ahead.
Richard Tse: Thank you. Mike, when do you think the impasse with US federal would be lifted? Or should we just assume it’s going to be a longer-term event or headwind going forward?
Michael Roach: I guess what I’ve assumed, Richard, as I said in there is my view is probably going to continue to go sideways here, flat for 2015. But again back to my earlier comment - our strategy is stay very close to our customers, renew and extend business that we can there and also continue to ensure that we’re adding new contract vehicles. As I mentioned we added one; we’re up to 57 now. And that of course gives us a vast [hunting] license across a good portion of that $80 billion market. As far as the business there, the team is operating very effectively. They’re managing their costs carefully, so not to get out of balance between the revenue and the margin. But I haven’t built in any significant upside on the back end of the year on federal. It would be good but from a planning standpoint… I am seeing some positive things as I mentioned but we still have $1.7 billion awaiting a decision.
Richard Tse: Okay. And then just switching gears on the pricing environment, I think Accenture recently said on their call that they’re seeing some relief from pressure for a good part of last year. Are you guys seeing the same thing? And how would that apply to new deals; and then secondly, how would that apply to renewals?
Michael Roach: Well again, I think on renewals as I say we’ve always taken a very business approach with our clients. In some cases we change the scope, add the scope, narrow the scope depending on where we are and extend the term which gives us a lot of flexibility to bring a lot of value to the customer while maintaining the contract. I’m not seeing a lot of pressure. I think again where we lose a bid and it’s on price, my sense is, I don’t know if you call that pricing pressures or somebody willing to take a risk on the bottom line more than we are. I mean we don’t believe in loss leaders; we don’t believe in buying business for the sake of buying business. We spent the last two years digging out of there and we don’t want to go near there. So where we have lost business on price we analyze it; we look at whether we’re using the proper mix of local and global delivery. But I wouldn’t say there’s a general downward pressure here that I’ve seen.
Richard Tse: Okay, and then just one last question. Of your offerings what would you say is in the most demand today? Is it kind of still back office ERP systems, more work in the cloud, just some perspective on that? Thank you.
Michael Roach: So again, not in any particular order I would say as I mentioned our cyber security front to back is top of mind across industry. In the government space our managed solution in the United States is still in big demand, both from bringing on new states and jurisdictions that don’t have it but also we continue of course to modify and expand and update a very large embedded base there. We’ve also as you know added cloud to the advantage to attract some of the smaller jurisdictions, and we’re just currently going through an analysis there to see if we want to make any modifications there to our offering to accelerate, to grow there. On the finance side collections, and finally I would say payments are ramping up especially in the financial institutions modernizing and updating payment processes and supporting IT infrastructure is picking up. And I also call out, because as I say when I go around the world and I talk to clients a lot of companies in various sectors have to invest significant money in information technology to meet regulatory requirements. And that is becoming a growing part, in some cases a significant amount in absolute dollars or pounds. And again, we’re looking at that, we’re active in there and that’s clearly a growth engine.
Richard Tse: That’s great, thanks Mike.
Operator: Thank you. The following question is from Scott Penner with TD Securities. Please go ahead.
Scott Penner: Hi, thank you. Just two questions, Mike. First of all I just wanted to clarify one of the comments you made in your script. Excluding the revenue let’s say impacted by Obamacare last year did you say that the US market would have been, the revenue would have been pretty consistent with last year?
Michael Roach: I think for the most part in the US I’m saying that when you remove not only the stuff that I would call the federal ACA but also the state business stuff, because we also were doing a lot of work in that same period of time on the health-related projects for the states. So for the most part I’m saying US operations from a revenue standpoint would have been stable.
Scott Penner: Okay, I think that’s a pretty important point. The other thing I wanted to ask about is just again, you commented on Western Canada and I guess the bigger energy market in general. What is the receptiveness of customers right now? There’s a lot of things going on and changing fast - what’s the receptiveness of customers to taking your calls? And are these transformational deals with longer sales cycles or are you looking at smaller, sort of quick-hit deals that we could see in the near term?
Michael Roach: Well again, we’re actually looking at both. I think in some cases we’re looking to help augment internal staffs to accelerate the implementation of technology that will bring down the costs of the operation; and at the same time putting in front of the customer a transformational deal that would see us take on a portion of that back room. And it could be business process wrapped with IT as we do more of that now where we take the whole back room. And there is I would say a lot of interest in how costs can be managed or brought down rapidly against a dropping commodity price. And I cited Western Canada but it’s not only Western Canada - it’s in other jurisdictions. And I am in fact having an opportunity in a couple weeks in Europe to speak to a customer in that situation. So clearly our business is kind of an interesting business because as the economy grows or company grows of course they deploy more information technology to bring on new products and drive the top line. But on the other side when tough times come, and you recall in the US state business where a number of years ago it was exceedingly tough we put together what we called Solutions for Tough Times. And actually we’re working on the same thing for the energy industry as we speak.
Scott Penner: I appreciate it. I’ll leave it there and enjoy the AGM.
Michael Roach: Yeah, thank you.
Operator: Thank you. Our following question is from Ralph Garcea from Cantor Fitzgerald. Please go ahead.
Ralph Garcea : Good morning, gentlemen. Just given this is the third quarter in a row now where on the US side your EBITDA margins have been in the mid-14% range - as you open up down the road the Lafayette facility and possibly some other near-shore centers can you get another 50 bps to 100 basis points on the margin side out of the US business as we move forward?
Michael Roach: I think that’s certainly doable. I think you rightly call out that we’ve added a new center in Lafayette that brings with it a very competitive cost model to win more business and also to increase our margins on the business. I think the other thing, Ralph, is that as the commercial business picks up of course our mix changes. So there we have the opportunity to generate better margins where as you know a lot of our government business is actually capped on a cost plus or time and material basis. And then the third lever there would be the continued use of our IP base services and solutions. So I think if you just took those three levers we can continue to gradually improve the margins in the United States. Now, as we mentioned before and it’s probably a question that’s coming, if we look at acquisitions of course the United States is a market that we’re very interested in. Clearly it would be very helpful to our overall plan to have a larger presence in the commercial space and that still remains a priority for us.
Ralph Garcea : And just on that comment and your IP, you picked up some deep expertise on the cyber security side with the Stanley acquisition - it was mainly defense and government related. Are you seeing that now trickling into your commercial contracts and then that’s getting you some of that margin leverage also?
Michael Roach: What we’ve done on that, Ralph, is actually globally now we have about six centers that are really embedded in those markets where we are offering security on a broad basis - starting even with the datacenter and the monitoring of this. And as you heard we continue to grow in that space in the UK; we continue to grow with a number of large international companies where we have won cyber contracts. So the US, while it has a lot of expertise there we have been able to replicate and build on frankly because it would be unfair to say Logica didn’t have the similar type of experts. The biggest challenge, which is a nice one, is to be able to ramp up with enough experts in this space to be able to meet demand but that’s a nice problem to have.
Ralph Garcea : Perfect, thank you.
Operator: Thank you. Our following question is from Steven Li with Raymond James. Please go ahead.
Steven Li: Thank you, hi Mike. Just on Canada again, so the past year or so margins have been very strong but organic growth and specialty [inaudible] bookings have lagged. Can you maybe share your outlook for Canada for this year? Should we maybe expect more of the same? Thanks.
Michael Roach: I think again in Canada we’re in some degree a victim of our success. When you have such a high percentage of your clients in long-term outsourcing, as I mentioned before you ride the uptick and you ride the downtick in terms of volumes. So in some cases volumes are putting downward pressure on the top line. But as I mentioned, the three areas that I called out, I think as we execute across those my sense is that we can gradually return again to profitable growth in Canada. And again, my sense is that will be an area that’ll be in the back end of ’15. We have some visibility on some good opportunities. For some of these it takes time to get them over the line, but we have a very strong franchise here in Canada and we’re very confident in the team that we’ve got on the ground here to move us in the right direction. Meanwhile of course we’re protecting our margins and again to be sure the margins aren’t an impediment to our growth - that the margins are actually coming from as I say the mix of the work that we have. And in those areas of course our pricing and offerings are very competitive. So nope, I believe that Canada is not a mature market and there’s opportunities here for growth.
Steven Li: That’s great, thanks Mike.
Michael Roach: Thank you.
Operator: Thank you. Our following question is from Thanos Moschopoulos from BMO Capital Markets. Please go ahead.
Thanos Moschopoulos: Hi, good morning. Mike, how should we think about the mix coming from outsourcing revenue over the next year or so? I know that’s clearly a strong focus for you but I’m assuming that we might see a cyclical uptick in SI and C work as well. And so would that offset the other or should we look for that outsourcing mix to improve over the next twelve months?
Michael Roach: That’s a very good question because as the economies start to strengthen you do see more systems integration projects coming on stream. On the other side, as I’ve mentioned many times an outsourcing deal takes a long time to groom but when it hits it’s a dramatic uptick on the organic growth side and therefore changes the mix. And you can see that again in countries like Finland where we’ve won in the last twelve months two very good contracts with very strong customers up there. So my sense is absent a large outsourcing deal you’ll see a gradual uptick on the project work but an outsourcing deal can dramatically shift the mix, the recurring revenue, the backlog and the margins over time. And of course we work on both. The way I view that, outsourcing is a very key part of our strategy and you have to be nimble and ready to execute when the customer is and that’s certainly how we’re approaching our plan. And now with the new platform that we’ve got around the world we’re certainly eligible and participating in more opportunities and getting more visible opportunities with clients who are looking at that.
Thanos Moschopoulos: Great. And I thought you raised an interesting point earlier with respect to the opportunity for your Canadian delivery centers with the Canadian dollar having declined. Can you maybe talk about the initial level of interest you’re seeing there, maybe what you’ve seen historically the last time the dollar was down at these levels?
Michael Roach: Well again as I say to our own team, you’ve got a 20% advantage on the currency. In a number of these locations that I mentioned we also have, as do our competitors, government grants to entice growth in the information technology space. So the combination of the two makes our Canadian centers very appealing. The challenge is you’ve got to get out there, show some comparisons to other options for a customer. When the dollar was in the 70% range a number of years ago that actually was the trigger for us to actually set up more of these centers. So our sense is, I don’t want to predict where the dollar is going but if it continues to maintain at that type of spread we’re certainly getting a better hearing. Our focus, while primarily it would be in the US commercial market, we do have global companies who are looking to place their work in areas, geographies - and we have some of that already in Canada. And that business is growing as those companies do diversify and in some cases move work out of previous jurisdictions they had in parts of Europe into other areas like Canada.
Thanos Moschopoulos: Great, thanks Mike. I’ll pass the line.
Lorne Gorber: Thanks, Thanos. Maude, I think we’ll have time for one last question please.
Operator: Certainly. Our last question is from Jim Schneider with Goldman Sachs. Please go ahead.
Jim Schneider : Good morning, thanks for taking my question. Mike, I was wondering if you could comment on the environment you’re hearing anecdotally from clients in Europe, whether the macro pressures, some of them might be feeling it in some countries - if it’s actually causing them to do more outsourcing sooner than they would have otherwise done, or maybe hold back from doing that outsourcing? From a secular standpoint towards more outsourcing in Europe.
Michael Roach: Yeah, it’s a good question and I appreciate it because a lot of times we tend to bulk Europe altogether as one. And even though they’re on the common currency their economies are much different. Again, I would say that Spain and Portugal continue to be challenged. We’ve got a great team on the ground there fortunately. We don’t have a large exposure there. Again, where I really see much more interest in investing in information technology in Europe would be in the UK and in Germany. And in the UK in particular you know, the amount of money that has to go into the regulatory side for a global financial services company there is very, very significant. So you’ve got a driver that to some extent is not linked to the economy - it’s linked to regulation. And of course many of these companies would much prefer I’m sure to invest that kind of spend into their core business, growing their core customers and making it easier to do business. So with those two pressures what happens is they’re looking at how to cut the run costs of the existing operations and then redeploy money either/and to meet the regulatory pressures and invest back in their core business. So this stimulates I would say a different conversation. In some jurisdictions I’m also looking at seeing whether there’s an opportunity here to become a bit of an intermediate for numerous financial institutions who are making the same regulatory changes and each paying 100₵ on the dollar to do it - whether there’s areas where we can do it once for multiple players. So we’re exploring that. I haven’t seen any big resistance; I just don’t think we’ve quite figured out how to wrap that solution and execute on it. But the idea is out there and I think appealing to a number of institutions.
Jim Schneider : That’s helpful. And then just as a follow-up, a clarification on your earlier comments on M&A. Do you still think that the US commercial is kind of the most attractive area when you look at your overall M&A pipeline or are there other areas within the US or internationally that you think are equally interesting?
Michael Roach: Well thank you, it’s a good chance to clarify that. I was speaking in terms of what I believe was probably the most accretive acquisition would be in the United States, and also from a capability standpoint to augment our commercial business so that we would participate more in the growing strength of the US economy. Unfortunately as you know sometimes where you would like to prioritize and execute your M&A strategy doesn’t align with the pipeline of opportunities or the willingness of sellers to sell. So we continue to look obviously globally, and we continue as I mentioned earlier, if I go back to my comments on the UK as just an example - our margins have improved there. The organic growth has returned and therefore if I could add more capabilities and a larger footprint on the ground in the UK I think it would be accretive for shareholders given that we’ve kind of righted the ship there and the team there certainly has proven their ability to manage in line with our operating model - and would do so in an acquisition case. So that’s kind of how we look at it. But I still firmly see it, that this is a consolidating industry and I don’t think we’ve missed anything over the last two years that I particularly would have wanted. So we’ve come through the Logica merger, our cash is back in line; there’s a significant amount of liquidity out there that we’ve been offered by various financial players. So we’re in a good position to pull the trigger again on the right deal at the right price and the right time.
Jim Schneider : Great, thank you.
Lorne Gorber: Thank you, Jim, and thank you everybody for joining us. Hopefully you’ll have a chance to tune into our annual meeting this morning at 11:00 AM which will be broadcast on www.cgi.com and then of course once again in late April for our Q2 results. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.